Operator: Good morning, ladies and gentlemen, and welcome to the Owens Corning Fourth Quarter 2013 and Year End Results. [Operator Instructions] Please note that today's call is being recorded today, Wednesday, February 12, 2014. I would now like to introduce your host for today's call, Thierry Denis, Director of Investor Relations. Please go ahead.
Thierry J. Denis: Thank you, Rachel, and good morning, everyone. Thank you for taking the time to join us for today's conference call and review of our business results for the fourth quarter and full year 2013. Joining us today are Mike Thaman, Owens Corning's Chairman and CEO and Michael McMurray, Chief Financial Officer. Following our presentation this morning, we will open this one-hour call to your questions. [Operator Instructions] Earlier this morning, we issued a news release and filed a 10-K that detailed our financial results for the fourth quarter and full year. For the purpose of our discussion today, we've prepared presentation slides that summarize our performance and results for the fourth quarter and full year 2013. We will refer to these slides during this call. You can access the press release, Form 10-K and the presentation slides at our website, owenscorning.com. Refer to the Investors link on the bottom right side of our homepage. A transcript and recording of this call and the supporting slides will be available on our website for future reference. Please reference Slide 2 before we begin, where we offer a couple of reminders. Today's presentation and remarks include forward-looking statements based on our current forecasts and estimates of future performance. Actual results may differ materially from those projected in such statements. Additional information about the risks, uncertainties and factors that could cause these material differences can be found in today's press release, as well as in our 2013 Form 10-K. This presentation and today's prepared remarks contain non-GAAP financial measures. The calculations of non-GAAP to GAAP measures may be found within the financial tables of our earnings release on owenscorning.com. Adjusted EBIT is our primary measure of period-over-period comparisons, and we believe it is a meaningful measure for investors to compare our results from period to period. Consistent with our historical practice, we have excluded nonrecurring items and items that we believe are not representative of our ongoing operations when calculating adjusted EBIT. We adjust our effective tax rate to remove the effects of quarter-to-quarter fluctuations, which have the potential to be significant in arriving at adjusted earnings and adjusted earnings per share. For those of you following along with our slide presentation, we will begin on Slide 4. And now, opening remarks from our Chairman and CEO, Mike Thaman, who will be followed by CFO, Michael McMurray. Mike will then provide comments on our outlook prior to the Q&A session. Mike?
Michael H. Thaman: Thank you, Thierry. Good morning, everyone. We appreciate you joining us today to discuss our fourth quarter and full year 2013 results. 2013 was a good year for Owens Corning. We grew adjusted earnings per share by nearly 70% and increased adjusted EBIT by $123 million. All of our businesses increased EBIT versus 2012, including an improvement in both the third and fourth quarters. This momentum gives the company a positive trajectory for continued earnings growth. And as we announced in this morning's press release, our Board of Directors has established a quarterly dividend as an additional mechanism to return value to our shareholders. I'm pleased that our strong financial improvement in 2013 and confidence in our business outlook allowed the board to make this decision. Let me start with a summary of the company results for the fourth quarter and full year. Owens Corning consolidated revenue for 2013 was $5.3 billion, up from $5.2 billion in 2012. Full year adjusted EBIT was $416 million compared to $293 million last year. Full year adjusted earnings were $221 million compared to $131 million in the prior year. Fourth quarter revenue of $1.28 billion was up from $1.16 billion in the same period. Adjusted EBIT for the quarter was $96 million, up from $52 million in 2012 and adjusted earnings for the quarter were $52 million, up from $13 million in the prior period. Now I will review our performance as it relates to the expectations we set earlier in 2013. As I always do, let me start with safety. We maintained our safety performance in 2013 when compared with the prior year. The company continues to operate at a very high level relative to industry benchmarks. In fact, Owens Corning had 88% fewer injuries than the average manufacturing company when measured against the rates published by the U.S. Department of Labor. I'm delighted to note that we've been named the 2014 National Safety Council Green Cross recipient for our ongoing safety performance, an achievement that recognizes the tremendous progress that our team has made in eliminating injuries. Our goal continues to be 0 injuries, and we entered 2014 with a renewed purpose and energy toward that goal. In Roofing, we said that we would improve margins and see better pricing. Roofing delivered 20% margins for the year. This 4 point margin recovery over 2012 represents the execution of our teams on pricing initiatives and customer relationships. Our Roofing volumes were down mid-single digits, in line with the market. The overall market was down due to a negative storm comparison and a weaker re-roof market. Despite some variability from quarter-to-quarter, we maintained our overall position in the market in 2013. In the Insulation business, we said that continued improvement in U.S. housing market would translate to a return to profitability for the business in 2013. The business delivered a profit of $40 million for the full year. Full year revenue grew 12%, with year-on-year EBIT improvement of $78 million. Operating leverage continued to be strong, with leverage of 50% since the start of the housing recovery. We expect the business should continue to benefit from growth in U.S. residential new construction, improved pricing and operating leverage. We said we expected the Composites business to improve financial performance as the year progresses by demonstrating operating leverage in a stable price environment. For the full year, EBIT improved by $7 million. In 2013, we saw a slower-than-anticipated rate of industrial production growth, and we did have some manufacturing challenges. We saw price improvements in the second half of the year. In the fourth quarter, the business had a year-on-year EBIT improvement of $13 million on better pricing, stable manufacturing performance and volume growth. In addition to these strong business results for the year, I wanted to review other significant accomplishments that have strengthened our company and positioned us well for 2014. In our Building Materials segment, we acquired Thermafiber, a mineral wool insulation manufacturer. We will leverage this capability for growth in the commercial insulation markets. We both completed the rebuild of our Kearny, New Jersey roofing plant and resolved the insurance claim in 2013. This facility was damaged in the fall of 2012 by Superstorm Sandy. We opened a new insulation plant in Xi'an, China to meet the growing demand of Western China. In Composites, we strengthened our capability and cost position in China with strategic actions that will help us meet future demand and reduce our capital intensity. We began construction on a $130 million nonwovens composites plant in North Carolina. When operational in mid-2015, the new facility will support the growing U.S. construction market with technology capable of meeting the evolving needs of our customers. Finally, our board initiated a quarterly dividend of $0.16 per common share in recognition of our strong cash generation capability and expectations of sustained financial performance. We finished 2013 with strong year-on-year EBIT improvements across all businesses, leading market positions and great technologies. Our team has demonstrated the ability to execute through changing market conditions. With that, let me now turn to 2014. The momentum of 2013 provides the confidence we will deliver another strong year in 2014. Our current outlook for a continued recovery of the U.S. housing market, as well as improved global growth supports guidance of $500 million in adjusted EBIT. In addition to another year of EBIT growth, we expect strong cash flow as a result of better performance in Insulation and our advantaged tax position. Key elements of our current outlook include: The Roofing business will deliver another strong year in 2014. We anticipate market growth in new construction with flat or potentially improving re-roof demand. Our Insulation business should continue to benefit from growth in U.S. residential new construction, improved pricing and operating leverage. In Composites, the company expects improving market conditions and pricing to drive EBIT growth year-over-year. Improved manufacturing performance and higher volumes are expected to offset higher rebuild expenses. Overall, we delivered a strong 2013, and we expect to deliver another strong 2014. Our businesses are executing on the right strategies, and we are seeing continued improvement in our key markets. I will now turn the call over to Michael for a more detailed discussion on our financial performance. Michael?
Michael C. McMurray: Thank you, Mike, and good morning, everyone. Today, I'm pleased to report that Owens Corning delivered strong results for the quarter and full year 2013. All 3 businesses improved their financial performance, and our Insulation business achieved an important milestone, delivering its first profitable year since 2008. We believe the actions we have taken, combined with the recovering markets, will continue to drive the improved financial performance in 2014. Now let's start on Slide 5, which summarizes our key financial data for the year and the fourth quarter. You will find more detailed financial information in the tables of today's news release and the Form 10-K. Today, we reported 2013 revenues of $5.3 billion compared with $5.2 billion in 2012. Sales in our Insulation business grew by 12% on stronger volumes, higher selling prices and the acquisition of Thermafiber. In our Roofing business, sales were down 2% resulting from lower volumes, which were in line with the market. Lastly, sales in our Composites business were down 1%, primarily due to foreign currency translation. In a moment, I'll review our reconciliation of items to get to adjusted EBIT, our primary measure to look at period-to-period comparisons. Adjusted EBIT for 2013 was $416 million compared to $293 million in 2012. Adjusted earnings for 2013 were $221 million or $1.86 per diluted share compared to $131 million or $1.10 per diluted share in 2012. Fourth quarter 2013 adjusted EBIT was $96 million compared to $52 million in the fourth quarter of 2012. Adjusted earnings for the fourth quarter of 2013 were $52 million or $0.44 per diluted share compared to adjusted earnings of $13 million or $0.11 per diluted share in the fourth quarter of 2012. Our 2013 effective tax rate on adjusted earnings was 27%, which was below our previous guidance of 30%. Our ongoing tax planning initiatives drove the improvement versus our previous expectation. Depreciation and amortization expense was $332 million for 2013, including $9 million of accelerated depreciation related to our asset repositioning in Europe, which is now substantially complete. There was an additional $20 million of accelerated depreciation related to an incomplete insulation manufacturing facility located in Cordele, Georgia, which I will discuss later. Capital expenditures for 2013 were $353 million compared with $332 million in 2012. Capital expenditures in 2013 were in line with depreciation and amortization for the year, excluding costs associated with rebuilding our New Jersey roofing facility damaged as a result of Superstorm Sandy. Now on Slide 6, let me reconcile 2013 adjusted EBIT of $416 million to our reported EBIT of $385 million. We have adjusted out $15 million of net gains related to the flood that occurred in October 2012 at our New Jersey roofing facility as a result of Superstorm Sandy. As the timing of recovery does not match the timing of expenses, we are adjusting the impact of this event out of our results. The net gain in 2013 includes the impact of $58 million in insurance recoveries received, partially offset by $43 million of additional repair, replacement and cleanup costs taken. As communicated in our third quarter call, the facility has returned to full operating capacity and, in December, we reached final settlement for the claim for $83 million, which is expected to fully cover all cost and the losses incurred, including the final cleanup and repair expenses of about $6 million in the first half of 2014. In addition, we have adjusted out $26 million of expenses related to our previously announced restructuring actions, $20 million of which is related to our 2012 actions taken primarily in Europe and $6 million of severance cost associated with the shutdown and sale of our composites facility in Hangzhou, China discussed in our third quarter call. Finally we have adjusted out $20 million of accelerated depreciation related to assets at our incomplete Cordele, Georgia insulation manufacturing facility. We began construction on this facility in 2006 and froze the project shortly thereafter due to the rapid downturn in the U.S. housing market. As a result of recent product and manufacturing technology developments, we concluded that the engineering and construction work performed to date is no longer commercially viable. These factors led to a write-down of this project in the fourth quarter. We will continue to evaluate the use of this site in the future when warranted by positive economic factors and growth in market demand. Now please turn to Slide 7, where we provide a high-level review of our adjusted EBIT performance comparing full year 2013 with 2012. Adjusted EBIT improved $123 million. Each of our businesses improved EBIT performance versus last year. Our Insulation business improved by $78 million and reported its first profitable year since 2008. Our Roofing business improved by $55 million from the higher pricing and lower manufacturing cost, partially offset by lower sales volumes. And our Composites business improved by $7 million. General corporate expenses were $17 million higher versus the prior year, primarily due to higher performance-based compensation. With that review of the key financial highlights, I ask you to turn to Slide 8, where we provide a more detailed review of our business results, starting with Building Materials. For the fourth quarter, Building Materials sales were $847 million, an 11% increase compared to the prior year, with higher sales in both businesses. Building Materials delivered $94 million in EBIT in the fourth quarter of 2013, up from $51 million for the same period in 2012. For the full year 2013, Building Materials sales were $3.6 billion, up 4% compared to 2012. Building Materials delivered $426 million in EBIT in 2013 compared with $293 million in 2012. Slide 9 provides an overview of our Roofing business. Roofing sales for the quarter were $381 million, a 9% increase compared with the same period a year ago. EBIT in the quarter was $55 million, up $13 million compared to the same period in 2012. Roofing sales for the year were $2 billion, a 2% decline compared to the prior period, driven largely by lower sales volumes. Market volume for 2013 were down in the mid-single digits, due primarily to weaker storm and re-roof volumes, partially offset by growth in U.S. new residential construction. 2013 EBIT margins exceeded 2012 in every quarter. For the year, EBIT margins were 20%, up from 16% in 2012, primarily driven by strong price execution during the year. Contribution margins in the fourth quarter continued to be attractive and capable of sustaining strong annualized EBIT margins. As we look forward to 2014, we expect the Roofing business to deliver another strong year. We expect the asphalt shingle market to grow in 2014, primarily driven by new construction activity and possibly some growth in re-roof. As has been the case for the last couple of years, we expect our volumes to track with the overall market. Given our shipments to date and backlog, we would expect the first quarter shipments to be down as much as 10% compared to the first quarter of last year. Now Slide 10 provides a summary of our Insulation business. Sales for the quarter in Insulation of $466 million were up 13% for the same period a year ago on stronger volumes, improved pricing and the acquisition of Thermafiber. The business delivered EBIT of $39 million in the fourth quarter compared to $9 million in the same period 1 year ago. This was our most profitable quarter since 2007, driven primarily by growth in volumes and strong price execution. For the year, sales in Insulation of $1.6 billion were up 12% compared to 2012. The business delivered its first profitable year since 2008, driven by strong commercial execution, an improved housing market and cost reductions. In addition, the business has delivered operating leverage of approximately 50% over the past 2 years. As the U.S. housing market continues to recover, we expect to see further sales growth. Expectations for 2014 U.S. housing starts range between 1 million and 1.2 million units, with the current consensus at 1.1 million U.S. starts. Although macros and the overall market momentum are positive, we are taking a cautious approach as January shipments were off to a slow start, which we believe to be primarily related to cold weather and its impact on construction activity. Now I'll ask you to turn your attention to Slide 11 for a review of our Composites business. Sales in our Composites business for the quarter were $461 million, an 8% increase compared to the same period in 2012. Full year sales were $1.8 billion, a 1% decrease compared to the same period in 2012. Sales for the year were up approximately 1% compared to 2012 and seen primarily in the fourth quarter. The volume gains were more than offset by the unfavorable impact of foreign currency translation and unfavorable mix. Prices continued their sequential improvement in the fourth quarter and ended flat for the full year. EBIT for the quarter was $36 million compared to $23 million in the same period last year, due primarily to improved manufacturing performance, higher sales volumes and better second half selling prices. EBIT for the full year was $98 million compared to $91 million in 2012. In 2013, global reinforcements demand grew less than the historical average of 5% as global industrial production growth was below historical trends. In 2014, we expect moderate global industrial production growth. With recovery market conditions, we expect to drive price improvements of $20 million to $30 million during the year. Improved manufacturing performance and higher volumes are expected to be offset by higher expenses associated with plant rebuilds. During 2014, we will complete rebuilds on melters that represent roughly 20% of our global capacity, which is about 2x our typical rebuild activity. Now let me turn your attention to Slide 12. In 2013, the company continued its disciplined approach to balance sheet and capital management for the long term benefit of its investors, and we strengthened our balance sheet through the execution of several key transactions, including the refinancing of our $800 million senior revolving credit facility in the fourth quarter. The continued recovery of the U.S. housing market, improved global growth and confidence in our earnings and cash flow outlook support the board's approval of Owens Corning's first quarterly dividend since 2000. The company will make an initial quarterly payment of $0.16 per common share on April 3, 2014, to shareholders on record as of March 14, 2014. During 2013, we also repurchased 1.4 million shares of the company's stock for $54 million under a previously announced share repurchase program. Since 2008, we have purchased 18 million shares for approximately $500 million at an average price of $28.27. This repurchase activity was accomplished during a very challenging housing market and weak global economy. As of year-end, 8.6 million shares remain available for repurchase under the company's current authorization. The return of capital to our shareholders reflects our strong outlook for growth in earnings and free cash flow generation. As we balance our priorities for future deployment of our free cash flow, both dividends and stock repurchases will be important mechanisms to return capital to shareholders. With that review of 2013 results, I now ask you to turn to Slide 13, where I review our guidance for 2014. Our current market outlook for continued growth in U.S. housing starts and moderate global industrial production growth supports 2014 adjusted EBIT guidance of $500 million. Now please turn to Slide 14, where I will provide other financial guidance for the year. We expect corporate expenses to be in the range of $120 million to $130 million. Capital spending will be about $400 million, including approximately $65 million of spending associated with the construction of our new nonwoven facility in Gastonia, North Carolina. Depreciation and amortization expense is expected to be about $315 million. Our $2.2 billion U.S. tax NOL will significantly offset cash taxes for some time to come. Our tax position has delivered another year of significant cash tax savings and cash taxes paid were $29 million. As a result of our tax NOL and other tax planning [ph] initiatives, we expect our 2014 cash tax rate to be approximately 10% to 12% of adjusted pretax earnings. Our 2014 effective tax rate is expected to be approximately 28% to 30% of adjusted pretax earnings, slightly higher than our 2013 effective tax rate of 27%, as the majority of our earnings growth are expected to come from within the United States. Finally, as a reminder, we expect to close on a couple of nonrecurring items in the first half of 2014 that we intend to adjust out of our operating results. As previously discussed, we anticipate incurring an additional $6 million in repair and remediation cost associated with the rebuild of our New Jersey roofing facility, which was damaged by Superstorm Sandy. We also expect to close on the sale of our Hangzhou, China manufacturing facility in the first half of 2014. This sale is expected to result in a gain of $30 million to $40 million. Thank you, and I'll now hand the call back to Mike. Mike?
Michael H. Thaman: Thank you, Michael. As I noted at the outset of today's call, 2013 was a good year for Owens Corning. We grew adjusted earnings per share by nearly 70% and improved adjusted EBIT by $123 million. All of our businesses increased EBIT versus 2012, including an improvement in both the third and fourth quarters. Our businesses are executing on the right strategies, and we're seeing continuing improvement in our key markets. For 2014, our current outlook for a continued recovery of the U.S. housing market, as well as improved global growth, supports guidance of $500 million in adjusted EBIT. In addition, our board's decision to establish a quarterly dividend is a clear response to our improvement in 2013 and an indicator of the confidence we have in our outlook for 2014 and beyond. With that, I'll turn the call over to Thierry to lead us in the question-and-answer session. Thierry?
Thierry J. Denis: Thank you, Mike. Rachel, we're now ready to begin the Q&A session.
Operator: [Operator Instructions] Your first question is from the line of Garik Shmois with Longbow Research.
Garik S. Shmois - Longbow Research LLC: Just have a question on the 2014 guidance. Just wondering if you could walk us through the thought process in setting the $500 million EBIT target and thinking about it in the context of -- you delivered about $123 million of growth in 2013. It seems like you've got good price and volume momentum across all of your businesses when looking out to the balance of 2014. I'm just wondering why you set the guidance at about an $85 million EBIT growth figure relative to 2013, which was a stronger year against more challenging conditions.
Michael H. Thaman: Thanks, Garik. Happy to address your question. We kind of walked you through in each of the 3 businesses what we're looking for in 2014. We said that we think Roofing will have another great year. That business is performing at a very high level for the last 4 or 5 years. We think Insulation will continue to show strong improvement, really tracking the rate of improvement in residential new construction in the U.S. I think we're confident we'll see growth in new construction this year. I think the rate of growth at this moment is a little bit of an open question. There's been a little bit of soft spot, I think, in the new construction market. Some of it may be weather. Some of it may be interest rates. I think generally, there is still strong optimism in the industry, but the general consensus around starts this year has been fairly broad. Michael characterized it as 1 million to 1.2 million. So we're confident in growth in Insulation. I think we're looking at a fairly broad range and saying, how much impact that will have on our Insulation business is something that we'll learn through the year. And then in Composites, I think we expressed a lot of confidence in the call that this will be another year of improvement. And in fact, improvement in a very important way, which is, we expect to see a nice uptick in pricing performance in that business. We did say that we've got about 20% of our capacity being rebuilt this year. The average melter lasts about 10 years. So what's typical for us is about 10% of our capacity. So we have a lot of very low-cost capacity that's going to be offline for a period of time this year, which will create some cost in that business, which will then give us a little bit of tailwind into 2015. I think the biggest difference, if you compare 2013 going into 2014 versus 2012 going into 2013, is we did have a bit of a down year in 2012 in Roofing, and we expected to see a significant snapback in that business. And in fact, we did generate 20% operating margin. We did generate improved operating margin in all 4 quarters. I think we expect another great year in Roofing. I'm not sure that we expect that we're going to snap back off of 2013, which was already operating at a very high level.
Garik S. Shmois - Longbow Research LLC: Okay. And then, I guess, just a follow-up on Composites. Can you provide a little bit more detail on the revenue growth that you saw in the fourth quarter? Where, what geographies outperformed and maybe what price versus volume looked like?
Michael H. Thaman: Yes, the fourth quarter volume growth in Composites was, I think, a real bright spot for the business, both the fact we got price in the fourth quarter and saw good volumes, I think, gave us confidence as we look into 2014. I wouldn't say there was as much of a geographic story. The market overall was growing. I think we grew generally with the market in glass reinforcement on a geographic basis. There were a couple of end markets that were a bit stronger. One end market was the wind market in North America. And that's more on a comp basis. It was very, very weak in the second half of 2012. The renewable tax credit had not been renewed at the end of 2012. The supply chain really dried up. It took most of the first half of 2013 for us to see some rebuilding of that supply chain. And really, at the end of last year, we started to see decent volumes in wind, which we think will carry over into 2014. The second market, which has been growing fairly consistently, is the nonwovens market, particularly in North America. That's almost kind of fiberglass paper. A lot of it goes into construction markets. That's the technology that we're investing in, in North Carolina. So we saw good growth through the second half of the year, which was really construction-related in North America. And as that market grows, that will be the market that will support our investment in North Carolina in a new nonwovens facility. So more of those 2 end-use markets than any big geographic story.
Operator: Your next question is from the line of Mike Wood with Macquarie.
Adam Baumgarten - Macquarie Research: This is Adam in for Mike. Just a quick question on Roofing volumes in 4Q. I mean, would you say, if you compare your volumes versus the market, would you say you outgrew the market or you're in line? And did you see any kind of snapback given sort of the underperformance you saw in 3Q because of geography?
Michael H. Thaman: Yes, we went into a fair amount of detail in the third quarter kind of talking about what we thought about our position in the market and the profile of the growth of the market in the third quarter, which really didn't advantage us. I think in the fourth quarter, we did see a market that was more consistent with what we've seen historically and generally consistent with what we said in the third quarter, which is, we think these things kind of even out over time and that sometimes you get some results in a quarter that then catch up in the next quarter. So we probably outgrew the market a bit in the fourth quarter. We think we tracked the market in the second half. So if you take the third quarter and the fourth quarter together, we think we're about right on the market. We had said, we were right on the market in the first half. And we said, we were right on the market for the full year. So I think that aberration or that little pause that we had in the third quarter, which we tried to identify some drivers of that in the -- our last call, mostly corrected itself in the fourth quarter. And we were satisfied that our volumes were in line with where we had expected them to be, based on market conditions.
Operator: Your next question is from Philip Ng with Jefferies.
Philip Ng - Jefferies LLC, Research Division: Incrementals in your Insulation business was quite strong in Q4 and the full year. Is that 50% run rate still sustainable going to 2014?
Michael H. Thaman: Yes, so I think each call I get the opportunity to make sure that we talk about the guidance we've given on operating leverage. We've said really at the beginning of the housing recovery, which goes back to kind of the beginning of 2012 when housing kind of bottomed in '11, that we thought over a 3-year period of time the business would average about 50% operating leverage. Over any extended period of time since we gave that guidance, if you'd take any 2, 3 or 4 quarter period, we've been pretty much in line with that. And we've also said, there are going to be some quarters based on either when we're building inventories or depleting inventories or turning on some capacity or the timing of price increases, where we may lead or lag that indicator. So I think the conclusion I'd ask you to draw from the fourth quarter is, that happened to be one of those quarters where we led that indicator. I think it's reasonable to think there may be some other quarters where we've lagged that indicator. But in total, we'd expect over a 2 or 3-year period of time that 50% operating leverage is still good guidance for the business.
Philip Ng - Jefferies LLC, Research Division: Got you. And then switching gears on Roofing. You provided some color on the demand profile. Can you give us some color on how you're thinking about price? Obviously, there's a few price increase across the supply chain. There's some capacity coming on later this year. So just help us have -- get a better sense on pricing, how you're thinking about it?
Michael H. Thaman: Yes, if you look back at the business over the course of the last 4 or 5 years, really with the exception of the first quarter of 2012, we've had very stable and strong margin performance in the business. And the 1 year where we had some challenges from a pricing point of view, where we got kind of on the wrong side of cost inflation versus price, was the first quarter 2012, where we had some very aggressive winter buy incentives in the market; that encouraged our customers to buy a lot of product from us in the first quarter. We actually had decent pricing performance through the remainder of that year, but were never able to recover from the amount of volume we shipped earlier in the year. So we're very focused in Roofing in making sure that we start the year well. So we think we have pretty good visibility to the first quarter of this year in terms of where the winter offer that we made is and how that's going to affect price and volume. Our winter offer this year is pretty much in line with where we were last year. So we feel comfortable that we've started the year with the business on a solid basis. And that at least for now, we feel comfortable that our pricing is stable in the marketplace relative to last year. Michael did say in his comments, we're expecting to see less volume in the first quarter at those numbers. So partly probably as a result of weather, maybe as a result of expectations of our customers, that last year buying a lot of product in the first quarter maybe didn't help them in terms of their facing the market and then what happens in terms of fiscal years and year-ends and some other things that cause customers to need to buy product at different times in the year. Our current estimate is that we'll see less volume in the first quarter than normal -- or than what we saw last year, and then actually we'll return back to a bit more of a normal profile with maybe not a first quarter that's quite as big. Overall, we'd say, that's probably a good thing for the business. We would expect that, that volume will get caught up through the year, and that generally our margin rates are as good or better in the second and third quarter so we can pick any of that volume up through the mid-year. I think that, net-net, helps us.
Operator: Your next question is from Stephen Kim with Barclays.
Stephen S. Kim - Barclays Capital, Research Division: I wanted to ask you, I guess, first about the Insulation. One of the things that we saw last quarter, third quarter, was that you sometimes have costs associated with opening up a new line or adding shifts and things like that. I was curious as to whether you had anything like that in the Insulation business this quarter. And to the degree that you will see those kind of quarterly gyrations affect your quarterly results, I was curious if you could give us any visibility into what you're anticipating next year if you can foresee any intended costs like that in Insulation business that we should think about as we try to model this thing out quarter-to-quarter.
Michael H. Thaman: Yes, I'm fearful I'm not going to be much help to you in terms of helping you model the business quarter-to-quarter because we'd look at it and obviously, our internal planning process is very detailed around when we bring capacity on the line and what that will do in terms of absorption and other costs. That's also a dynamic problem for us. So as we look at it each quarter, we assess what happened to the marketplace, where we think lagged starts are, and we adjust all of that timing. So our sense would be, getting more detailed in this area would likely only serve to confuse investors rather than try to make the business more understandable. So I would say that, generally, we have confidence in our ability to forecast annual volumes in that business. We have reasonable confidence in our ability to break that out by quarters. And then we have an operating plan that supports the volume and production required to service that demand, but we're constantly adjusting it. So those costs could move around a lot, and I don't think we would clarify things by giving you further guidance on that.
Stephen S. Kim - Barclays Capital, Research Division: Out the rearview mirror, anything in 4Q that you can comment on?
Michael H. Thaman: I wouldn't say anything of note. Obviously, the key issue for us typically at the end of the year is decisions about how much inventory we want to be holding at the end of the year based on our production plan for the following year. So we'll be looking all the way through to the second half of 2014 in making decisions on how much capacity we want to run in the fourth quarter of 2013. So we would have some effects at our outlook based on how we would have managed the business late in the year, but I think that's all consistent with our guidance.
Stephen S. Kim - Barclays Capital, Research Division: Okay. I was curious -- next question relates to Composites. I was curious if you could talk about some of the success you've had there. You talked about improved pricing and improved pricing outlook. I think last time, I was with you guys in Europe, you talked about the fact that the European pricing environment had seemed to be ameliorating and the Asian pricing environment had gotten better before that. So I was curious if you could comment on sort of your success in renegotiating your annual contract that, again, typically have at the end of the year, how that went in your view and if you could sort of talk about the generalized environment for pricing in Europe that you're seeing recently.
Michael H. Thaman: Okay. I think we've given a fairly bullish message on pricing for Composites in today's call. So we have guided to $20 million to $30 million of price improvement in 2014. If you go back and look at last year, one of the big challenges we had in 2013 is we lost price early in the year, which I think was a little bit unexpected. We had expected price to be relatively flat in the first half, with maybe some improvement in the second. In fact, we had a little bit weaker pricing in the first half. We saw the improvement in the second half, but only got back to kind of our starting point. So a little bit of a V-shaped price curve in 2013, which yielded really no net pricing for the full year, but did yield price improvement in the second half. Obviously, from a carryover point of view, when you have V-shaped pricing, you're going to end the year with a better price than your average price for the full year. So you're going to carry over some price into the following year. So we started the year in that environment. The year-end price negotiations, I think, met our expectations and are consistent with the guidance we gave today. If I were to characterize it by region, I would say, Europe is maybe a little bit tougher. The euro has continued to be relatively strong. So on a translation basis, it's a decent market for exporters. And we do see some Chinese product from our Chinese competitors coming into the European market. It also tends to be the highest cost capacity in the world for us and our competitors, and so most of the European capacity is stranded in Europe. If it can't find a market in Europe, it really can't find a market globally. So with weakness in volumes in Europe, you tend to find that all the Chinese -- all the European producers are searching for European-based demand in order to try to load their capacity. And we didn't see quite strong enough demand in Europe to really get the European capacity fully loaded and so we've seen that to be a little bit more of a competitive market than, maybe, what we've seen in Americas or I think a little bit optimistically, China. So early in the year, we have gotten news of some price announcements from some of our competitors in China. Actually, early in the year before Chinese New Year, which is pretty unusual. Typically if we see pricing action in China, it tends to be after the Chinese New Year, which is a more natural kind of timing or cycle for the business over there. So our sense is that maybe some of the credit issues in China is now starting to come down to the industrial level where there's more pressure on industrial companies to start earning returns on capital, start focusing more on profitability than growth. That has been our theory for a number of years. Obviously, it's going to take time to see whether or not that theory will come true, but our sense is, we're seeing a competitive environment in China that's maybe a little bit more focused on profitability than growth right now, which would help pricing in China. Not such a material effect for us because you know that we don't have a significant amount of our volume in China. But obviously, if the Chinese market were to get a little bit more profitable, I think it might reduce the incentives for some of the Chinese manufacturers to need to export to try to load their assets, which would help us in Europe and help us in the U.S. So in total, I would say the market environment is evolving consistent with what we talked about at our Investor Day, where we laid out and said, we have seen over the last 5 or 6 years a couple of times where market conditions were right, that we could get as much as $100 million of pricing over a 2-year period. I think if we can get $20 million or $30 million this year, with carryover, that at least gets us in the range of maybe believing we're in one of those kinds of price cycles for ourselves in the 2014-2015 timeframe.
Operator: Your next question is from the line of Jack Kasprzak with BB&T.
John F. Kasprzak - BB&T Capital Markets, Research Division: On the Insulation business, can you talk about the contribution of price and volume to the sales gain you had there in the fourth quarter?
Michael H. Thaman: Well, we have been getting a lot of positive progress on price in the Insulation business as you would expect. Generally, where we've been seeing a lot of growth has been in the residential new construction market where we're growing with housing starts. I think we've talked on prior calls that the reportable business for Insulation that we report in the Building Materials segment was profitable in 2013, had been having profitable quarters up until 2013, but that on balance, the new residential piece of it was not making money. And that, in fact, as we were seeing volume growth in new residential, most of the operating leverage there was coming from absorption and positive pricing and very little of it was actually coming from volume. I would say that's still largely true as I look at 2013. Manufacturing margins or gross margins are still very low in the fastest-growing segment of that business, which is the new construction side. As we head into 2014, with more positive pricing this year, I think volume will begin to contribute more in terms of the impact. But for last year, I would say most of the impact in terms of overall EBIT improvement in the business was coming from an improved price environment.
John F. Kasprzak - BB&T Capital Markets, Research Division: Okay. And sticking with Insulation, on the subject of pricing, are there incremental or new price increases out in Insulation for 2014 or is the comment on positive pricing just the carryover effect from '13?
Michael H. Thaman: We announced and have executed against a November price increase, so late in 2013. So really in terms of the impact that price increase would have on the business, I think we would feel most of that in 2014. So while it was announced and executed in the prior year, from a carryover point of view, there's very little carry from last year and most of the net benefit of that will happen in 2014. So we would look at that in terms of our own financial outlook as being a 2014 event. In that price increase, I believe we said that we would not announce another price increase until sometime in the late spring. So we have not made any additional disclosures on our expected pricing actions for the remainder of the year. But in a growing market environment and given our profitability, which is well below historical levels, we're going to continue to look at prices and lever to try to improve the performance of the business.
Operator: Your next question is from the line of Ken Zener with KeyBanc.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: So the Pink Panther delivered. I wonder if you could -- just going back to Insulation, given the different margin trends that we have within the international, the U.S. commercial and obviously the residential fiberglass business, the sequential change in margins that we had -- you talked about how you guys do internal and don't want to describe that because it would create noise, understood. Did it hit your expectations? And then if so -- or if you'd just let us know how your forecasting is. And then, was it really regional or product mix that caused the sequential lift in margins? I'm just trying to see how -- if we get that volatility, realizing you're going to stick with the 50% incremental annualized.
Michael H. Thaman: Yes, I guess when you look at it relative to our expectations, I think the business has definitely been delivering against our expectations. Maybe the area where we've been hopeful, which is a market condition, not really a business condition, where we've been hopeful to maybe see a little bit more tailwind would be the mix of single-family and multi-family and some of the dynamics in the housing market that might have created a little bit more acceleration in end market demand. So the demographics of housing recovery is still pretty skewed towards multi-family, which doesn't consume quite as much insulation as what we would see in single-family starts. Counteracting that, we had a really good story around building codes, where the building codes that are being adopted today are requiring more insulation per square foot of construction. I think we expected maybe the building codes to be a bit more accretive to our demand than it's been because we haven't really gotten great demographic in terms of what's being built. As we get to a bigger housing market, we don't think multi-family stays at this high a percentage of the overall mix. So on a relative basis, the next increments of growth over the next 2 or 3 years should be a little bit richer to us in terms of the yield out for demand. But based on the macros we track, where we think pricing should be and how the business has progressed over the last 3 years, we're right on track with all the things we said when we were at the bottom of the cycle and feel really good about the business' ability to return to very high levels of performance.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Right. And I clearly got that. I guess, now in pricing in the Composites. You talked about in the guidance of $20 million to $30 million. If that's happening within a 2% or 3% industrial demand environment, you're going to be looking at about 2-points of price, call it 2 or 3 points of unit growth. But that's really what you said, EBIT growth would be more in that $20 million to $30 million range or primarily that. So can you talk about why and how your plant closures, if that's different, I assume you had a fairly mature furnace base that was always kind of cycling, but are there any incremental EBIT headwinds that we're experiencing in '14 that you might want to call out given the distinct $20 million to $30 million incremental EBIT growth that you did talk about?
Michael H. Thaman: Yes, Ken, I think you called out the key one that we wanted to make sure all of our analysts were well aware of, which is the rebuild profile. So we do have a -- we have a very good story around price, we think. We actually have a good story around volume. We've got a good story around regional mix. So there's a lot of good things going on in the market and market conditions. The challenge we have this year is this rebuild issue. Our melters, we've got a fleet of melters globally. On average, they last about 10 years. So in any given year, we tend to rebuild about 10% of our capacity. Our rebuilds can be downtime anywhere from 30 to 60 days depending on the extent of the rebuild. Because of the economic crisis and kind of when we turned some melters off in order to take some inventory reductions, and when we extended the lives of some melters because of some things we had, we ended up with some really low-cost, very good melters all needing to be rebuilt in 2014. Given that we think we're headed into a little bit better cycle for Composites, with higher levels of utilization, better pricing and better profitability and better returns, we wanted to go ahead and get that work done, make sure that we've got all of our low-cost melters in position to service the market as we its continuing market growth. And that's really the big headwind this year, which is offsetting a lot of the good news that we would have expected to be able to report from volume and manufacturing performance. I think as we head into 2015, we would hope, if this year plays out right, that we would then have next year with a tailwind where we comp positively on rebuilds, a tailwind where we get volumes and also get price, and we start to see an acceleration in the rate of improvement in Composites.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: So you said it was $40 million headwind. I mean, how are you thinking about that, the headwind from the rebuild, from the low-cost plants that we're experiencing in '14 vis–à–vis what the run rate will be in '15 from a cost basis?
Michael H. Thaman: Yes, we have not disclosed on that, Ken. We've only said that it's about equal to and expect it to be offset by improved manufacturing performance and a little bit better volume.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Which would normally be about 30% incrementals on the volume. Therefore, that's the headwind. 30% on the volume incrementals, is that what you're saying?
Michael H. Thaman: Yes, I don't think I may be able to help you on that.
Operator: Your next question is from the line of Al Kaschalk with Wedbush Securities.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Mike, just to delve a little bit further on this EBIT guidance. If I back out the Composite contribution, that's [ph] about $60 million. And if I think about that, is the split better on Insulation, more contribution there than Roofing? And is it more volume versus price?
Michael H. Thaman: Yes, so I mean without really breaking it down and guiding by business, but I think we've been pretty explicit on Composites because we wanted to make sure that we didn't have the market get ahead of us in terms of how much progress we thought we would make in 2014. It's reasonable to conclude that from a guidance point of view, the rest of the improvement is going to come from Building Materials. We said that we think the roofing market should be up a little bit this year. So new construction has been driving about 2.5% or 3% growth in volume in the roofing market. Last year, that 2.5% or 3% growth in new construction was more than offset by a declining reroof market and a declining weather-related or storm-related market. Storms were pretty weak in 2013, so we would expect that we would comp flat or maybe slightly positive on storms. Obviously, we can't forecast that, but they're low enough in 2013. We wouldn't expect we've got a lot of downside risk related to storms. We also think re-roof demand in 2013 was affected by very high levels of storm activity in 2011 and 2012, which was causing some natural re-roof demand to get pulled forward due to storms. We think that effect will start to dissipate a little bit in 2014. So Michael commented, I commented, both of us would hope to see re-roof demand at least flat in 2014, maybe optimistically, slightly up. So it's not hard to get to low-single digits or mid-single digits growth in roofing. And if we could get some of that, I think that would help top line in Roofing. Obviously, with very good margins, if we have top line improvement in Roofing, that's going to help bottom line. But it's very hard for us at this early in the year to know where we think the overall market opportunity in Roofing would be. But to the extent we have improvement in Roofing, I think it will be mostly volume-related. I think to the extent you see improvement in Insulation, it's going to look a lot like the last 2 or 3 years, which is, it's going to be a combination of operating leverage, volumes and price that gets us to the operating leverage guidance we've given.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: And then just a follow-up, you talked about the channel and the inventory, both in building products and your visibility on production. But how would you characterize, maybe since the Investor Day and maybe now, your plan on production in terms of scheduling and is the inventory -- is the channel inventory pretty full or is it lean?
Michael H. Thaman: Al, which business are you -- is that comprising?
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: When I was thinking I said Building Materials, but you can pick whether that's Insulation or Roofing. I mean, you talked earlier about a lot of reduction in the volumes on Insulation that helped drive some of that leverage and I'm just -- given that it is a high throughput business, I'm just trying to think about how you're thinking about production efforts for '14.
Michael H. Thaman: Okay. I'll let Michael take that one. Michael?
Michael C. McMurray: I think 2 things to kind of keep in mind. So from a supply chain perspective, the 2 Building Material businesses operate pretty differently. So the supply chain within Insulation is actually relatively short. So days, maybe weeks, because our customers typically stock very little volume versus Roofing, where the supply chain actually tends to be quite lengthy, where distribution at times will stock up quite heavily and have weeks if not months of inventory in their warehouses and in their yards. As we look forward and look at kind of both those businesses, I don't think there's an inventory problem that we have in Insulation right now. I think things are broadly balanced. Obviously, you heard us say that kind of out-the-door sales in January for us were a bit slow. So we're probably building a little bit of inventory personally as we get ready to service spring demand. And in Roofing, our perspective is that things are probably broadly in balance. Mike, I'm not sure if you want to add anything further.
Michael H. Thaman: No, I think that's right. I think there's going to be some timing things earlier in the year, which we believe will come back later in the year. So could affect the quarter, but most of the conversations today that you hear about weather, we don't think really has a big impact on how we view 2014.
Operator: Your final question is from the line of Dennis McGill with Zelman & Associates.
Dennis McGill - Zelman & Associates, LLC: I guess, Mike, the first question was back on Roofing and the start to the year. If for whatever reason, whether it be weather or some other reason that shipments don't pick up through the rest of the first quarter, do you think it's more likely that the industry would extend the pre-buy period or that you would replenish inventory at higher prices as you move into the second quarter?
Michael H. Thaman: Yes, well, I mean, I certainly can't speculate on what the industry would do. I can talk about how we see it from our perspective. We're obviously in close contact with our customers in terms of their expectations of our ability to ship them in the first quarter. And our view today is for the most part, what our customers would like to take in, in the first quarter, and what we are able to ship under the buy program that we put in place is pretty well balanced, and that we should be able to meet our customers' expectations. We have announced -- Owens Corning has announced a price increase for April 15. So as you come out of the first quarter, I guess there would be a short period of time where there would be an absence of buys in the market where price -- where there had not yet been a price increase and then you'd have a spring price increase where prices would begin to go up at least that would be our expectation. So as we look at it, the real question would come in, if our customers wanted to buy a lot more product than we were able to supply them in the first quarter, that might put pressure on our need to either extend the season or try to find a way to get them more product. But at this point, we feel like we're going to be able to meet what the customers are asking us for.
Dennis McGill - Zelman & Associates, LLC: Okay. And then separately, how do you think about raw material inflation across the businesses in '14 versus '13?
Michael H. Thaman: Raw material inflation right now is pretty tame I guess, I would say. We've obviously seen some natural gas inflation, but we think we've got that well under control. That used to be a big theme in our discussions of our business back when gas was kind of $12 and $13 a decatherm. Today, it's at low enough levels that even if you see big percentage changes in natural gas, that's pretty manageable and a lot of that for us is contracted. That would be a source of concern if we were to continue to see gas prices go up even more and be persistent at higher levels. We're not expecting that. We think a lot of that is very cold-weather related and as we get into the spring, there will be ample supply of natural gas. We see some chemicals going up, but we also see some opportunities to offset inflation. So in general, we think we've got our arms around inflation pretty well and don't see anything running away from us.
Dennis McGill - Zelman & Associates, LLC: So just generally speaking, cost inflation that was evident in '13 becomes less of a headwind in '14?
Michael H. Thaman: Yes, I mean, obviously, the big variable that we can't forecast particularly well is what happens with asphalt cost. We would expect as we get into the spring, that we're going to see an uptick in asphalt cost. Any of us who are living in places that are under 24 inches of snow know that every time the snow melts, you find bigger and bigger potholes. So at least in our part of the country, there is a lot of road repair that's going to need to get done. I would expect that's true in a lot of the country and that there's going to have to be money that's allocated towards road repair, which will create asphalt demand, which will create asphalt inflation for us. We think that's manageable through pricing and margin management, but I would expect that, that's going to be another theme for us to talk about as the year goes by, which is how much road repair we need to see.
Operator: And that does conclude today's Q&A session. I will turn the call back over to Mr. Denis.
Thierry J. Denis: Very good. Well, thank you, everyone, for joining us for today's call. And with that, I'll turn it back over to Mike Thaman for a few closing remarks.
Michael H. Thaman: Okay thank you, Thierry. Let me start by saying that we're very proud of the year that we produced in 2013. We set out at the beginning of the year to see improvement in all of our businesses. We finish strong, and we're able to do that in the fourth quarter. And in fact, we did it in the third quarter. So now for 2 consecutive quarters, we have seen improvement across all 3 of our businesses. We did say that we expect 2014 to be another strong year for the company. We expect to see another great year out of Roofing, continued improvement in Insulation and progress in our Composites business, all building towards continued strong growth for our company. I came in to today's call prepared to talk a lot about the dividend in the Q&A. And I didn't get any questions, so I'll take my time now to again reinforce how excited we are to implement a dividend. This is a company that in its history had always been a dividend-paying industrial company. That's how we think about ourselves. We know that we've got great cash-generating capability. We've maintained a good investment-grade balance sheet. I think we've managed capital return to shareholders effectively when we went through a period here with some weak stock price. And Michael mentioned in his comments that we had bought back a number of shares, almost 18 million shares at an average price in the high $20s. We are expecting that as we go through what should be a prolonged and sustained recovery for housing and the impact that, that will have on our overall portfolio, that we had room in our balance sheet strategy to also put a recurring quarterly dividend in. And we're doing that now. And we're really excited to be able to do that for our shareholders. And I think that's a source of another opportunity for the company to create value for shareholders, which is what we'd like to do. So we look forward to a great 2014. Look forward to talking to you again on our next quarter call and as always, appreciate your support of our company. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call and you may now disconnect.